Operator: Good afternoon. And welcome to the Golub Capital BDC Inc. June 30, 2011 Quarterly Earnings Conference Call. Before we begin, I would like to take a moment to remind our listeners that remarks made during this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Statements other than the statements of historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time-to-time in the Golub Capital BDC, Inc.’s filings with the Securities and Exchange Commission. For a slide presentation that we intend to refer to on the earnings conference call, please visit the Events and Presentations link on our homepage of our website, www.golubcapitalbdc.com and click on the Investor Presentation’s link to find the June 30, 2011 investor presentation. Golub Capital BDC’s earnings release is also available on the company’s website in the Investor Relations section. I will now turn the call over to David Golub, Chief Executive Officer of Golub Capital BDC. Please go ahead, sir.
David Golub: Thank you Tom. Good morning, everybody and thanks for joining us today. I am joined today by Ross Teune, our Chief Financial Officer. I hope you’ve had a chance to review our earnings release in our investor presentation that we posted on our website. I mean to refer to the presentation and Ross will as well as go through the call today. I am going to start giving you an overview of the June 30th quarterly financial results, Ross is going to then take you through the results in more detail and then I’m going to come back and give you an update on our new credit facility with Wells Fargo and the additional SBIC debenture commitments, which we recently received approval for. So let me get started. We had in solid quarter in the period ending June 30 with EPS of $0.31 a share. In addition, we made particular progress on four of the key goals that I outlined in our last quarterly conference and I want to review each of those. The first was strong originations. As expected, we had strong originations in net asset growth for this quarter. I’ve highlighted on page 4, you can see our new investment commitments for the quarter were $135.8 million that is up from $54.6 million in the prior quarter. If you look at the $135.8 million, a $113.8 were new investments in middle market loan and equities while the remaining $22 million represented, what I view as a temporary investments in broadly syndicated bonds that we bought shortly after the follow-on offering. After you take into account sales and pre-payments, net earnings growth was $49.5 million, plus about $11.5 million for our new total returns. I’ll talk more about the total returns later. We account for that per GAAP on a separate line item but I think it’s best to look at those two numbers together. So $49.5 plus $11.5 or $61.00 in what I view as our new investment growth. Through our net funds growth that we were able to efficiently deploy most of the capital we raised in the follow-on offering that we completed on March 31. Our deal flow continues to be robust and we expect solid funds growth in the fourth quarter as well but I put a caveat on that, given recent activities in the securities market and I will come back to that at the end. Second key goal was to sustain our strong market position and our market position improved very strong in the quarter. The way that is evidenced is that Golub capital was ranked the number one Traditional Middle Market Bookrunner by Reuters for the first half of calendar 2010 for senior secured loans of $100 million and less. Our strong market position is a key piece to what allows us to continue to source really good risk-adjusted transactions for Golub Capital BDC. Third goal that I talked about last time was shifting our assets mix and we continue to make progress increasing the proportion of unitranche or one-stop loans and junior debt securities in the portfolio. If you look on page 4, you’ll see that the percentage of unitranche investments went up from 29% of total investments at March 31 to 35% of total investment at June 30 and our percentage of junior debt investment increased from 13% of total investment last quarter to 16% of total investment at the end of this quarter. Now, we recognize we’ve still more work to do on our mix but we’re pleased with our progress this quarter. Our current goal is to keeping increasing unitranche, junior debt and equity investments so that together they constitute between 60% and 79% of total investment that’s up from about 53% today. The shift that we accomplished in our assets mix did have a positive impact on total interest income yields in the portfolio last quarter. If you look on slide 8, you’ll see that total interest income increased from 8.3% for the quarter ended March 31 to 8.6% for the quarter ended June 30. We see continued upward potential to move that in the coming quarters. The fourth goal that I talked about last time was sustaining our high credit quality. Consistent with the past four quarters we have realized in unrealized gains, net of realized and unrealized losses that were positive for the quarter. This is what I called in the past negative credit losses. So we added one additional non-accrual loan during the quarter. We now have a grand total of two that’s a small exposure and so non-accruals in total continue to represent less than 1% of total investment of fair value. And if you look on slide 10, you’ll see that the percentage of loans in our two highest quality buckets, those rated four and five, represent nearly 90% of the total portfolio as of June 30. I want to repeat something I said in the past and that we are proud of our credit quality, but we do anticipate a downward migration in our average ratings as the portfolio develops going forward. We actually view the average rating now as being too high for optimal profitability. So with our strong asset growth this quarter and the substantial deployment of our new equity capital we raised in the March 31 follow-on offering, we took some steps to increase our debt capacity. We put in to place a five-year, $75 million Wells Fargo Revolving Senior Secured credit facility. And I am going to talk more about that in a few minutes, and we have filed for and we have received approval for roughly $50 million in additional SBIC debentures. I am going to come back after Ross’s comments and give you some more details on both the new Wells Fargo facility and the debentures but I am going to first leave it to Ross to discuss the financial performance for the quarter in more detail.
Ross Teune: Thanks David. I will be starting on slide 3 of the Investor Presentation. As David mentioned, earnings per share for the quarter was $0.31 per share. This was down from $0.33 per share last quarter. Earnings per share for the quarter, was consistent with our expectations, taking in to account, dilution from the additional shares that we issued to the follow-on offering back in April. Net investment income for the quarter was $0.28 per share down a $0.01 from $0.29 per share last quarter and net realized and unrealized gains on investments was $0.03 per share also down a $0.01 from last quarter. This is our fourth straight quarter of positive, net realized and unrealized gains on the portfolio of investments or what we sometimes refer to negative credit losses. Our net asset value remained unchanged for the quarter at $14.75 per share. And lastly on this page as noted at the bottom of the slide, the fair value of our loans as a percentage of principle continues to churn up and it is 98.1% of the par value at the end of June 30th. Turning the slide over to portfolio highlights. David mentioned that we closed the new investment commitments totaling $135.8 million for the quarter, of which $13.8 was new commitments in middle market loans and equity securities. This was up significantly from the $54.6 million from the last quarter. Exits from repayments and sales totaled $79.6 million for the quarter for overall net funds growth in loans and equities securities of $49.5 million. As David also mentioned, we invested $11.5 million in cash collateral account as part of total return swap transactions. So our net increase in total investments was $61 million. As shown in the asset mix table, kind of in middle from the bottom of the slide, we increased the overall percentage of unitranche deals by 6% during the quarter and the junior debt product by 3%. Turning over to the next slide, quickly reviewing our balance sheet; our total assets were $547.3 million, which included total investments of $438.6 million and total cash and restricted cash of $73.4 million. Total assets also included a $17 million receivable for loans that we had sold in the secondary market and the $11.5 million that we invested in the total return swap is listed as a separate line item under the Due from Broker heading. Looking at the liabilities; our liabilities were $222.3 million which includes $174 million in floating big debt that we issued through our securitization and it includes $48.3 million of fixed rate SBA debentures. As of June 30, 2011 net assets were $320.5 million and as I mentioned, our net asset value per share was $14.75. Turning over to the next slide the operating results. Our net investment income for the quarter was $10.1 million, an increase of 11% quarter-over-quarter. This increase was primarily attributable to an increase in the average investments outstanding. On the expense side, total expenses totaled $4.1 million which increased 4.8% quarter-over-quarter and was primarily due to an increase in interest expense due to higher average debt outstanding as well as an increase in management fees due to higher average investments outstanding. There was a net gain on investments during the quarter of a positive $568,000 primarily due to continued broad improvement in middle-market loan valuations. Turning to slide, portfolio highlights kind of asset mixed page. The chart in the left provides a breakdown of our new originations by product category. For the quarter ended June 30, 2011, 52% of our new originations during the quarter were unitranche and subordinated debt investments were 48% or straight senior secured investments. The chart in the right provides the breakdown by product of our total investments and as David previously mentioned, we continue to make progress towards shifting our asset mix from straight senior secured loans to unitranche and junior debt investments. Turning the page, portfolio highlights, the debt investment spread analysis, I’ll just kind of walk you through the changes quarter-over-quarter. Our first focus is on the red line which represents the interest income yield. The interest income yield represents all income earned on the investments, excluding amortization of discounts in origination fees. As you’ll see on this graph, our total interest income yield continues to increase reflecting our progress and shifting the asset mix. For the quarter ended June 30th, the interest income yield increased 30 basis points from the prior quarter to 8.6%. If you look at the blue line, we continue to see some volatility from quarter-to-quarter; this includes the interest income yield plus the amortization which declined to 9.6% from 9.9% last quarter. This will fluctuate quarter-to-quarter depending on the overall level of runoff in the portfolio and the related unamortized fees that get accelerated when those investments payoff. Looking at the green line, the cost of our borrowings remained constant quarter-over-quarter at 3.2%. Flipping the slide, the slide to portfolio highlights selected information. For new investments, the weighted average rate on new investments was 7.8% for the quarter. The weighted average rate on new investments is based on the contractual interest rate at the time of funding. Just for example, for variable rate loans, the contractual rate would be calculated using current LIBOR, the spread of our LIBOR and the loan and then the impact of any LIBOR floor. For fixed rates that would just be – the stated fixed rate on that particular asset. The 7.8% for the quarter compares favorably to the weighted average rate of 5.7% for investments that were sold or paid off during the quarter. So in summary, we picked up 200 basis – little over 200 basis points by replacing lower yielding loans with higher yielding new originations. The middle of the slide, the investment portfolio remains predominantly invested in floating rate loans and as shown at the bottom of the table, non-accrual loans continue to represent less than 1% of total investments at fair value. As David mentioned, we currently have two non-accrual loans within that category. Turning to page 10, the portfolio highlights and portfolio ratings. With respect to portfolio company ratings, our credit quality remained strong with nearly 90% of the portfolio are rated in our 4 and 5 category. The percentage of category 2 and 3 loans was fairly constant quarter-over-quarter. And as a reminder, for the quarter, independent valuation firms valued approximately 25% of the portfolio. Turning the slide to page 11, the Board declared a distribution of $0.32 a share payable on September 28, 2011 to shareholders of record as of September 19, 2011. I will now turn it back to David, who will provide some additional details on our overall liquidity and available debt capacity.
David Golub: Thanks Ross. As Ross noted in his balance sheet review our liquidity position at June 30th was solid with 73 million in unrestricted and restricted cash and cash equivalents. We recently increased our debt capacity to provide additional capital to fund new investment opportunities. I want to give you some details on that. On July 21st, we closed on a $75 million senior secured revolving credit facility with Wells Fargo. The key terms of that facility are as follows: It’s got an advanced rate of 60% on new first lien loans including unitranche loans and 40% for last out loans. It’s got a 15 month reinvestment period from the closing date and after the reinvestment period principal collections are going to be used to pay down borrowings. It’s got a five-year maturity and the interest on rate the loan is LIBOR plus 2.25% during the reinvestment period and LIBOR plus 2.75% thereafter. It would be our target year to amend this facility to increase it in size and to increase and to lengthen the reinvestment period overtime. In addition to the Wells facility on July 21st we also received approval from the SBA for an additional 51.7 million in debentures. So if you add our currently outstanding debentures of 48.3 and these newly approved one’s, we have authority now for a total SBIC borrowing of up to 100 million of which we’ve drawn 48.3 million. Last on June 17th, we entered in to a total return swap with Citi. The purpose of the total return swap was to provide us some more efficient way to gain exposure to broadly syndicated loans. Under the terms of the total return swap, we have the ability to recommend purchases of loans subject to Citi’s approval rights. The maximum size of the total return swap is a $100 million. We’re required to fund 20% of the purchase price for each loan and that’s what’s in what Ross was referring to as the Due from Broker account. Under the terms of the swap, the way the economics work is that cash flows due to Citi or the interest on the amount funded to purchase the loans at LIBOR plus 1.2% plus GBDC owes them any capital depreciation on the underlying assets if there is any during the quarter and cash flows due GBDC are all interest and fees received on the underlying loans plus any capital appreciation on the underlying assets. Again this is measured periodically. Let me just move on and talk about a few closing comments before opening the phone for questions. The risk of stating the obvious in the last six weeks, in fact in the last four days, we have seen an unusually high degree of volatility in both the securities markets and in the political world. The European debt crisis, the US debt ceiling drama, the S&P downgrade, financial markets gyrating between risk-on and risk-off. For investors, these have truly been in the words of that ancient Chinese curse, they have been interesting times. Our goal as a company is to stay boring even in interesting times and we are really pleased that for the June 30 quarter, we stayed true to this mantra. We stayed focus. We did what we said we were going to do, we grow our portfolio with high quality risk reward assets and the portfolio continued to perform well. We are planning on continuing that mantra of looking to stay boring in interesting times. With that, I want to open the line up for questions.
Operator: (Operator Instructions) Our first question comes from the line of Joel Houck from Wells Fargo.
Joel Houck - Wells Fargo: Just on the total return slab you know if you look in the queue, it looks like the language implied with the vast majority of loans originated by Golub, is that the case in how in order of the other loans are in the total return slab from what kind of degree of control if any do you guys have on, what gets put in there.
David Golub:
Joel Houck - Wells Fargo: Yeah no question, it makes that terrific financial economic sense though that’s helpful and then in terms of the accounting, is the, is everything, both the income as well as the capital gains and losses flow below the line on this TRS?
David Golub: Good question. So Ross correct me if I have the technical accounting wrong on this but currently we showed the TRS in two places on the balance sheet. There is a gain loss that is in the investments account and there is a cash collateral account representing the cash collateral. So from an income statement standpoint we would show gains or loss on the position through our investments account, Ross from an income statement standpoint, am I correct in saying that would be in unrealized.
Ross Teune: Yeah, there's unrealized and realized activity, but it all flows below the line kind of in that net gain or loss on the income statement.
Joel Houck - Wells Fargo: Okay, but the interest and fees you received less than what you pay to Citi, that cash component, is that also below the line?
Ross Teune: That's also below the line as well, correct.
Joel Houck - Wells Fargo: And so it offloads into the net change and unrealized depreciation or appreciation on investments?
Ross Teune: That's correct.
Operator: We will proceed to our next question from the line of Greg Mason from Stifel Nicolaus.
Troy Lahr - Stifel Nicolaus: Good afternoon gentlemen, this is Troy Ward. Following up on Joel’s questions about the assets coming off of your balance sheet into TRS, can you just speak to the level of pre-payment activity that you anticipate outside obviously of what you saw this quarter coming out of GRS and will you have any additional assets coming off your balance sheet into the TRS one?
David Golub: Let me answer both of those questions. In respect of the first one which is what kind of repayment activity do we anticipate seeing in the portfolio outside of the TRS, my expectation based on market conditions right now is that we are going to see some slowdown in repayment activity. It’s been running at a relatively high rate over the course of the period since our IPO, my expectation is in the context still of a challenging securities market that the degree of refinancing activity is going to slow and so we’re going to see more repayments that are the result of new deal activity. It is our experience that for a really extended period that our loans average of roughly three-year weighted average life. So my expectation would be in the near-term that we see that lengthen out a bit, probably end up between three years and four years, so that would put us at an annualized rate of repayments on the middle market portfolio up between 25% and 33%. With respect to your second question, are there other assets that we anticipate pulling off of the balance sheet and putting into the TRS, not material.
Troy Lahr - Stifel Nicolaus: Okay and then I think I saw 46 million in the Q came off with the balance sheet into the TRS, is that correct and what was the timing of that, when were those sold out of the balance sheet?
David Golub: You are correct that we sold roughly $46 million of loans in June and that a corresponding portfolio was purchased into the total return slot at that time. So that’s all reflected in our June 30th financials.
Troy Lahr - Stifel Nicolaus: Okay and then one last one just on the environment. You’ve seen any big changes may be intra, even as much as intra-quarter or post quarter, as specifically in the market and may be the spreads on unitranche and subordinate debts?
David Golub: We are in the process right now of having our market digest recent events and I think it’s important for me in the context of answering your question provided I just point out the obvious which is, today with what debt markets have been doing over the course of the last week, I think the answer to your question part is, we don’t know yet. My expectation is that we are going to see an environment where there will be some modest widening of spreads on middle market senior and probably a somewhat more pronounced widening of spreads on middle market subordinated debt. But it’s very early to be prognosticated.
Troy Lahr - Stifel Nicolaus: Great, thanks David.
Operator: Thank you very much. (Operator’s Instructions) And our next question comes from the line of Dean Choksi from UBS. Please go ahead.
Dean Choksi - UBS: Good afternoon gentleman. Just have a question on the total return swap. I mean, how does that impact your leverage calculation and can you just talk about the numbers we should be looking out there?
David Golub: Sure. Under GAAP the total return swap is accounted for as a derivative. So it shows up on the balance sheet as I mentioned earlier two ways as a cash collateral, in a cash collateral account, it’s called a due from broker. And in a mark-to-market of the position, that is in our investment’s account. Those are the accounts that are then factored into the leverage calculation. So in terms of the go forward period it is $100 million total returns swap in total. So we have relatively small amount of incremental assets that we can build in that facility under its current terms.
Dean Choksi - UBS: And that how would be treated for, against the RIC, that BDC leverage test?
David Golub: Yes. GAAP and RIC.
Dean Choksi - UBS: And just on the line, the new credit facility. Did you mention like unused facility fees or any sort of origination fees around the line?
David Golub: Yes, we can. There was the usual, which is to say that there were both kinds of those fees. There was a fee upon creation of the facility and there is an arrangement under the facility for Wells Fargo to get compensated for unused amounts. We will get back to you with the specifics on it. The unused calculation is little bit complicated.
Dean Choksi - UBS: Okay. And the final question is, you have done a good job kind of like freeing up some balance sheet capacity with the TRS and then acquired some resources of debt capital. What we can refer about the pipeline of new deals, granted these things were done in weeks past and the market has changed a little bit but how should we think about that the growth opportunities going forward?
David Golub: So going in to the September 30th quarter our pipeline was strong and we were anticipating a robust quarter. I think to give you an honesty answer today, I would tell you my guess that we’re going to see, at least a significant chunk of that pipeline shift to the right because of the higher degree of uncertainty that’s in financial markets right now. So, I still think it will be a solid origination quarter but I think there is no question that we are going to see some shifting to the right of closings relative to what I would have anticipated as recently as a month ago.
Dean Choksi - UBS: Thank you.
Operator: Thank you very much. Our next question comes from the line of Ross Haberman from Haberman Management Corporation. Please go ahead.
Ross Haberman - Haberman Management Corporation: Good morning. Good morning gentlemen, my questions have been answered. I appreciate it. Thank you very much.
Operator: Thank you. (Operator Instructions) We do have another follow-up question from the line of Greg Mason from Stifel Nicolaus. Please go ahead.
Greg Mason - Stifel Nicolaus: Great. Thanks guys. Just a follow-up a little more on the CRS. Can you talk about what your expectations are for your ROEs in this vehicle and then to follow up some more, just to make sure we get this accounting stuff right, as it comes below the line, is that going to be an unrealized or a realized impact when the actual cash transfers either from you or to CitiGroup?
Ross Teune: Well, when the cash gets transferred, it does show as a realized event. But there is a kind of quarterly waterfall and so, when there was, the netting of the cash takes place, that shows up as a realized gain or loss.
Greg Mason - Stifel Nicolaus: And will that happen, like the very end of every quarter or will there be, or will it be intraquarter when that waterfall is calculated?
Ross Teune: It doesn’t occur at the end of each fiscal quarter. It’s kind of intraquarter.
Greg Mason - Stifel Nicolaus: Okay.
Ross Teune: At the exact waterfall day, but I can get that.
Greg Mason - Stifel Nicolaus: Great. And then David your expectation just kind of ROE on this TRS facility?
David Golub: My expectation is a low double-digit yield.
Greg Mason - Stifel Nicolaus: Great, thank you.
Operator: Thank you very much. Our next question is from the line is J.G. Rogers with Janney Montgomery Scott. Please go ahead.
John Rogers - Janney Montgomery Scott: Hi good afternoon guys. I just wanted to get a sense of what you thought the willingness was on the part of private equity sponsors to do new deals now given the sort of increasing macroeconomic concerns and obviously recent events will take a while to filter through. But just wanted to get sense of what you guys potentially see of may be not this next month but three months or four months or six months out?
David Golub: It’s a great question. It is a question that we spend some time in an internal deal meeting this morning talking about. I think the answer is, we’re not through yet. Our sense is that the fundamental dynamics that have led us to anticipate relatively high levels of middle market M&A by which I mean a group of buyers who have a lot of money to spend, sellers where there is some pent-up demand, those still remain. But one of the ingredients that we’ve talked about before that was an underpinning of increased middle market M&A activity was reasonably predictable EBIDTA and then expectation that it’s directionally getting better. So I think those last two are the two pieces that are more in the category of question marks at the moment. I think that if securities markets stabilize and we see this as a slowdown, but not as a new downturn, then there will be a relatively quick recovery in middle market M&A markets. But I think that in the near-term we are likely to look at a world where a significant number of the transactions in progress get delayed.
John Rogers - Janney Montgomery Scott: And then obviously credit quality has been very good, but sort of while we’re speaking what kind of trends are you seeing in portfolio company fundamentals scenario; is there a top-line growth, is there cash flow growth, just trying to get a sense of the actual fundamentals of your current portfolio and then maybe some of the deals that you've been looking at recently?
David Golub: Obviously, every credit is unique, but I would say in terms of generalizations, we are seeing continued strong profit performance by our Obligors. We are not seeing signs in our Obligor’s performance that indicates a double-dip downturn. Now, it maybe that the securities markets are forecasting something that is coming and results are a lagging indicator, but we are not seeing securities markets responding to something that has already happened, at least not in our company. We are seeing continued solid profit performance.
Operator: Thank you. We do have another follow-up question from the line with Joel Houck from Wells Fargo. Please go ahead.
Joel Houck - Wells Fargo: Actually two follow up. One, can you give us a sense for the average coupon in the TRS?
David Golub: These are historic, the loans that we started out with and a few that we bought since that are at the low end of our range of typical pricing. So this would be, loans that would be in the double B and B2 range within the broadly syndicated world. So I don’t have an average to be able to give you, and I don’t want to pick a number, but this would I would say consistent with typical single B and double B broadly syndicated events.
Joel Houck - Wells Fargo: The second follow-up was, what are the implications for taxable earnings ordinary income or otherwise, for the TRS if everything’s come in from a realized gain perspective, can you retain those there is still payout requirements under BDC rules.
David Golub: I don’t know the answer to that, off the top of my head. I will tell you as a dividend policy matter that we intend to continue to have our dividend track to EPS. So we are not really focused on above the line, below the line the way that some other BDCs are. In fact, you’ve heard me give long speeches about how I don’t really believe in the distinction at the end of the day what shareholders get is EPS, not in [II] and some other BDCs like to play hide the ball and say our credit losses that happened between those two don’t matter. We managed the EPS. So I’ll get back to you on the technical matter, but I wanted to answer the question from a philosophical standpoint. The shareholders and analysts should look at our EPS path is the best indicator of our future dividend growth.
Operator: And Mr. Golub, we have no further questions at this time. I will turn the call back to you.
David Golub: Well, thank you everyone for joining us on this call and as always, please feel free to get in touch if you have any further questions. We appreciate your partnership.
Operator: Thank you. Ladies and gentlemen, that concludes the conference call for today. We thank you for your participation and ask that you disconnect your lines. Have a good day everyone.